Operator: Good morning. My name is Chris, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the WideOpenWest Fourth Quarter 2021 Earnings Call. [Operator Instructions] Thank you, Andrew Posen, Vice President, Head of Investor Relations. You may begin.
Andrew Posen: Good morning, everyone, and thank you for joining us for our fourth quarter 2021 earnings call. With me today is Teresa Elder, WOW!'s Chief Executive Officer; and John Rego, WOW!'s Chief Financial Officer. Before we get started, I would like to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the safe harbor provisions of the federal securities laws and are subject to known and unknown risks and uncertainties and other factors that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements. For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the Risk Factors section of our Form 10-K filed with the SEC as well as the forward-looking statements section of our press release. In addition, please note that on today's call and in the press release we issued this morning, we may refer to certain non-GAAP financial measures. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for our historical reported results can be found in our earnings releases and our trended schedules, which can be found on our website. Now I'll turn the call over to WOW!'s Chief Executive Officer, Teresa Elder.
Teresa Elder: Thanks, Andrew. Welcome to WOW!'s Fourth Quarter Earnings Call. In addition to our press release and quarterly trending schedules that are available on the Investor Relations page on our website. We've also included a presentation to complement our prepared remarks. This past year has been one of the most consequential years in our company's history, and we finished the year with strong results driven by further strength in our high-speed data business. We sold 5 service areas at a combined multiple of 11x, use the proceeds to significantly lower our debt and leverage ratio, received rating references from both S&P and Moody's, and we refinanced our debt. In addition to strengthening our financial position, we also made substantial operational improvements in our business that added to our already strong customer experience. The number of self-installed continues to grow. We further improved the way we serve customers and enhance the overall efficiency of our business with the successful consolidation of our billing systems into one system. Clearly, we accomplished a lot this year. Now let's dive into the results. For the full year, our high-speed data revenue, which is now 55% of our total revenue increased more than 11% on a pro forma basis, offsetting a 13% decline in video and a 12% drop in telephony revenue from last year. Our full year pro forma adjusted EBITDA increased nearly 9% to $261.6 million, driven largely by the growth in our high-margin, high-speed data business. The pro forma adjusted EBITDA margin was 36% for the year. The metrics in our high-speed data business also continued to show strength. During the fourth quarter, we added 2,200 high-speed data RGUs, up 37% from the last quarter, bringing our total number of HSD RGUs to nearly 512,000. With consistent levels of low churn, we once again increased the total number of subscribers to 533,000. We have maintained a sell-in rate of approximately 87% or slightly higher of new customers purchasing our HSD-only service for the sixth consecutive quarter, which we view as another great indicator of our broadband-first strategy long-term success. Whether it's the growing number of connected devices, increased streaming of video and gaming or working remotely, the importance of broadband and access to a high-quality network continues to increase. As a result, customers are requiring higher data speed. In the fourth quarter of 2021, once again 87% of new customers purchased speeds of 200 meg or higher with a majority of those buying speeds above 500 meg. HSD ARPU of $65.6 increased 2.5% from the same period last year and was in line with the third quarter's HSD ARPU adjusting for the $2.9 million of deferred revenue that was included in last quarter's revenue. The year-over-year increase in HSD ARPU predominantly reflects customers purchasing higher data speeds. Our Edge-Out strategy continues to deliver growth in homes passed and increasing penetration rates. Penetration for the 2019 vintage increased to 19.6%. The 2020 vintage remains solid at 20.6% and the 2021 vintage increased to 30% this quarter. We are especially pleased about the growth of our 2021 vintage, which continues to show strength as we increased the number of homes passed and increased penetration. This is a great indicator for our core business, demonstrating the opportunity for growth and highlighting our ability to grow penetration quickly in future greenfield markets. Over the past few years, we have transformed our strategy, launching broadband first to meet customer demand and grow our margins. And this past year, we transformed our financial position by divesting 5 service areas, generating $1.8 billion of gross proceeds, which we use to significantly lower our debt and delever the business. At our Investor Day in December, we presented our strategy for growth, including details for our plan to increase the number of homes passed. With our significantly lower leverage, we are now able to grow our footprint in nonadjacent greenfield markets that have less competitive intensity, and we're able to do this with proceeds from operations without having to relever the business. A few weeks ago, we announced that Seminole County, Florida will be our first greenfield market expansion. This morning, we announced our second greenfield market in Orange County, Florida, where we will be investing approximately $40 million over the next few years and plan to reach more than 40,000 homes passed. Combined, these 2 investments in Central Florida represent an exciting step forward for WOW! as we expand in new nonadjacent greenfield market, bringing our advanced multi-gig fiber technology and award-winning customer service to approximately 100,000 new homes across our growing footprint. This week, we also announced a new partnership with Reach Mobile to offer customers the option to add wireless service with WOW! broadband, which will be branded WOW! mobile, powered by Reach This represents our entrance into the mobile market, providing our broadband customers additional flexibility to stay connected on the go through a reliable, no contract cell phone plan with unlimited talk and text. As I said at the very beginning of the call, we accomplished so much this year. The focus and commitment of our employees to our customers was particularly evident, which is why I am so proud of the accolades that we received in recognition of that. In 2021, we were named one of the best no-contract Internet service providers by CNET and the best and brightest companies to work for in the nation as well as in Atlanta, Chicago, Denver and Detroit. To conclude, I am so pleased with the continued execution of our broadband-first strategy and the progress we've made in strengthening our financial position following the divestitures. We have been doing the hard work of transforming the company and executing our strategy. We now have set the stage for our future as a low leverage high-growth company through self-funding greenfield builds, edge-outs and further driving penetration in our organic footprint for both residential and commercial customers. We are able to win through our people, who have built the WOW! legacy of customer centricity. WOW! is a challenger, and we are better positioned than ever before, reflecting on our ability to deliver fast, reliable and affordable broadband products and services to new and existing customers. Now I'll turn the call over to John, who will go over our financial results in more detail. John?
John Rego: Thanks, Teresa. Well, we've talked about transformation and our broadband-first strategy a lot this year, and we really follow through. In 2021, the majority of our revenues were from high-speed data at 55%. This directly translates to the margin improvement that we continue to report. We've completed the sale of 5 service areas at an 11x multiple, allowing us to derisk our balance sheet and close on a new SOFR-based credit facility. Now let's look at the fourth quarter and full year results. As mentioned on the prior quarter's earnings call, we've updated our trending schedule and presentation on a pro forma basis to reflect the new WOW!. As a reminder, due to GAAP accounting rules, our income statement includes a required column for discontinued operations to reflect the impact of the transactions. Note that these figures only reflect those items that are immediately identifiable as being associated with the service areas that we sold. The revenue numbers in continuing ops exclude the full impact of the divested service areas. Operating expenses that are part of the transaction services agreement remain in continuing operations, but are netted out in pro forma adjusted EBITDA as the reimbursement for those expenses are included in other income. In the fourth quarter, our total pro forma revenues decreased 4.7% to $178.3 million compared to the same period last year. HSD revenue increased 5.1% to $100.5 million in the quarter, partially offsetting the decline in video and telephony revenues, which declined 15.4% and 11.1%, respectively. The outperformance in our HSD business as well as realized cost savings contributed to the growth in pro forma adjusted EBITDA margin in the fourth quarter, which increased more than 170 basis points from the same period last year to 38.7% on a pro forma adjusted EBITDA of $69 million. On a full year basis, total pro forma revenues were $725.7 million, down slightly from prior year's revenue of $730.2 million. The mix shift in our revenue continued throughout the year as growth in HSD was up 11.2% from last year, offsetting the reduction in our video and telephony revenue, down 13% and 12.1%, respectively. The growth in HSD revenue is attributed to several things, including the increase in ARPU, reflecting customers' demand for higher speed tiers through upgrades and sell-ins, coupled with further growth in HSD RGUs, which increased by 12,900 this past year, slightly below 2019, which we believe is the right comparison. Our incremental contribution margin increased in the fourth quarter to 73.4%, up significantly from 68.2% in the fourth quarter last year. This is consistent with the improvements we are seeing in our pro forma adjusted EBITDA margin. Following the divestiture of the 5 service areas, we committed to aligning our cost structure to be commensurate with the new WOW!. As of year-end, we have cut $5.5 million out of the business, which represents approximately 15% of the $35 million we identified to be reduced over the next few years. These reductions in our cost base are primarily from a decrease in head count, which is evident in SG&A as well as costs that are being incurred as services related to the TSAs as part of our divestitures. The latter are also reflected in our SG&A as we continue to incur the expense but our reimbursement of those costs, which are presented in other income. On an annualized basis, we are well on track to realize 2022's expected cost savings. Now I'd like to spend a few minutes talking about our current debt, leverage ratio and balance sheet. On November 1, we completed the second of 2 divestiture transactions and subsequently received credit rating upgrades from both Moody's and S&P, reflecting our lower debt level. In December, we refinanced our debt, closing on a new credit facility and tightening our cost of capital by 75 basis points. We ended the quarter with total cash of $193.2 million and total outstanding debt of $752.7 million, resulting in a pro forma leverage ratio of 2.7x adjusting for cash held for taxes related to the transaction. On a pro forma basis, we reported fourth quarter total capital spend of $36.1 million and total annual capital spend of $162.3 million, down $9.1 million from last year, consequently, improving our total capital efficiency by 1.1%. The improvement is primarily due to decreased spend of CPE previously pulled into 2021 in preparation for supply chain delays offset by investments made in our network. Additionally, including this morning's press release regarding Orange County, Florida, we have now announced 2 greenfield markets, Seminole County, Florida, but we plan to invest at least $60 million over the next 2 to 3 years in Orange County, Florida, where we plan to invest at least $40 million over the same period. Combined, we will be bringing our advanced fiber technology to more than 100,000 homes. This puts us well on our way to the target of 200,000 homes. We expect that these initiatives will drive our expansion CapEx for the year to approximately $80 million, which is slightly higher than our expected annual average that we presented on Investor Day. In total, taking into consideration the additional expansion CapEx, we anticipate that our total CapEx for 2022 will be approximately $215 million. We're excited to be able to make these investments directly from the cash generated by the business. If you look at the right side of the slide, we've included a new metric unlevered adjusted free cash flow, which we define as pro forma adjusted EBITDA less CapEx from continuing operations. This year's fourth quarter results of $32.9 million reflect an increase of $13.8 million, up significantly from $19.1 million in the same period last year. We believe this metric presents cash generated by the ongoing business and provides a clearer comparison to prior periods. We'll continue to use this metric throughout the year as a proxy for free cash flow. Finally, before we open the call for questions, I'd like to talk about guidance. Last summer, we removed our guidance following the divestiture of the 5 service areas. Now we have provided pro forma historical statistics and financials and present our strategy at our Investor Day in December. I'd like to reintroduce guidance to provide our outlook for both the upcoming quarter and the full year. For the first quarter, we expect HSD revenue to be between $99 million and $102 million, total revenue to be between $171 million and $174 million and adjusted EBITDA to be between $65 million and $68 million. We also expect HSD net additions to be between 2,300 and 2,700. For the full year, we expect HSD revenue to be between $427 million and $430 million, total revenue to be between $708 million and $711 million and adjusted EBITDA to be between $281 million and $284 million. We expect to add between 14,000 and 17,000 HSD RGUs for the year with the majority coming in the back half of the year. Our guidance across all of these metrics is in line with the long-term targets we presented in December at our Investor Day. In closing, we're thrilled about the upcoming year and the growth ahead as we continue to make good progress in executing our broadband-first strategy, building on our momentum and delivering strong results.
Operator: [Operator Instructions] The first question is from Frank Louthan with Raymond James.
Frank Louthan: Great. Just wanted -- you've mentioned the additional CapEx that goes into the investments. Can you characterize any OpEx that you're going to make for the greenfield investments? And then you commented on the wireless announcement you made earlier this week, what sort of penetration do you think you can get ultimately out of that product?
Teresa Elder: Great. Thank you, Frank. I'll go ahead and ask John to answer the part about CapEx and OpEx, and then I'll take the wireless.
John Rego: Yes. So the CapEx Frank, is coming in this year's growth have CapEx of $80 million, but remember, the growth CapEx also includes Edge-oUt activity and commercial activity. So it's not just greenfield. The greenfield CapEx will probably start to really come into play towards the back half of the year as well. In terms of the OpEx question that you asked, there's not a significant amount of OpEx that's created at this phase, will be a bit as we get towards the back end of the year, a bit of incremental marketing expense as we go into areas where WOW! might be not well known as we are in our service areas. So expect more as we go through the next quarter and then you start to see some of the funds rolling through in the back half of the year.
Teresa Elder: Yes. Thanks for the question on mobile. We announced yesterday that we are launching WOW! mobile powered by Reach. And for us, it's really a service that our customers trust us to provide and we're thrilled to have the partnership with Reach who has our same kind of standards of quality of service. So we're excited to be working with them. For us, it's less driving share or penetration. It really is having that offering for customers who want to take the great experience of WOW! broadband on the go with them. And we think over time, it really will help us with furthering our relationship with customers in deepening that ability for customers to never want to churn from us. And we think it makes a lot of sense. So it's less about targets to how deeply drive the penetration. It's just always having the things that customers expect from us, and we can provide in a very straightforward way. So we're excited about it.
Frank Louthan: All right. Great. And just to clarify on the Orange County announcement. I assume that's you're targeting areas that are more adjacent to Seminole County, not necessarily across the entire area there in Orlando?
Teresa Elder: Yes. We’re not going into the – really the kind of city in the metro of Orlando. We’re really looking at some of those northern suburbs that kind of match the characteristics that we look for the most, and we’re very excited to be going into both Seminole and Orange County.
Operator: The next question is from Dan Day with B. Riley.
Dan Day: Two part, 1 -- two-part question here first on the greenfield. I think maybe the most common question I get from some of the more skeptical investors out there as far as fiber-to-the-home greenfield. The point that some of the -- I guess you call it, relatively poor historical performance of the fiber overbuilders of the past. So just maybe, first, if you could talk about some of the key things that have changed over the last, call it, 5, 10, 15 years as far as construction costs or fiber-to-the-home and then also value to the consumer? And then at the Investor Day, the second question, the 30% to 40% IRRs you're targeting for greenfield CapEx of -- maybe you can just share anything you can on what might give investors confidence that those are achievable, whether it's things underpinning your cost per pass assumptions, marketing spend, penetration ramp, anything there that you could give would be great.
Teresa Elder: Okay. Why don't I take the first half, and I'll turn it over to John for the IRR question. So thanks for the question, Dan. I look at our own experience with Edge-Out and really the whole history of WOW! has been going into new markets as a challenger brand, building out a great alternative technology, building our brand and driving great penetration. We have 28% penetration across our entire organic footprint, and we've shown you the recent vintages of Edge-Outs and how we continue to drive strong penetration. And so this is our playbook. This is what we know how to do across the board. It's in our wheelhouse. We have always been a builder and constructing new areas, and we have a very robust process through which we have chosen certain markets where we think consumers are really looking for a new choice and a new alternative. So we feel very confident in that. Combined with the analysis that we did to say that for the new greenfield markets, we feel fiber to the home is the right technology, cost a bit more upfront, but we feel over time with the maintenance and some of the operational elements of it. It makes a lot of sense and will allow us to drive a deep penetration. So I can't speak to what anybody else has done, but this is exactly the playbook that WOW! does, and we tend to tell you what we're going to do and then we go do it. So John, you want to talk about the IRR part?
John Rego: Yes. So just so you know, Dan, so our greenfield modeling is massive, and it has over 60 inputs. And I think everything is on a cross-functional basis across the organization was well considered. But some of the key considerations in that or one of the most key considerations is, well, what penetration levels can you hit? And quite frankly, we think that we are going to hit penetration levels in greenfield markets that are substantially higher than what we have overall. So overall, for the entity, it's about 28%, but that being said, we have markets where we're significantly higher than 28%. And so when we pick greenfield markets, we're specifically looking for markets that have perhaps only a single 1-gig provider and perhaps a DSL provider. And when we're in those types of situations with our existing business, we tend to penetrate quickly and significantly higher than the average. And that's what gives me some confidence about the IRRs.
Dan Day: Great. And then just a quick follow-up. Just any time line to maybe the first greenfield customer later this year, early 2023, anything on that? And then just, can you confirm if there are any other fiber-to-the-home options in Orange and Seminole County today or any of the LECs out there have plans to pursue fiber-to-the-home in those counties?
Teresa Elder: Yes. I guess to the second half of that question, I mean, we can't speak for what competitors are doing. But where we're planning to go absolutely fits the criteria that we have. So we feel confident in our ability to succeed and offer customers great choice.
John Rego: Sorry. I mean we'll be building down in the second half of this year. Expectations are first greenfield customers on board in early 2023.
Teresa Elder: Yes. And we’re already doing some work obviously in both counties.
Operator: The next question is from Matthew Harrigan with Benchmark.
Matthew Harrigan: I was curious if you could comment on the current environment you're seeing for broadband pricing and whether it's just a downward buy is exerted by T-Mobile, in particular. I know you didn't think that was having much impact during your Investor Day. And how would you arrange your assessment of your pricing power relative to any cost pressure? I mean, right, I've got the TV on right now, seeing people in bomb shelter in Ukraine. So I can imagine what we're going to be looking at as far as further in supply chain disruptions. Is there anything that gives you pause in terms of pressure on your margins in terms of having not quite as much room on pricing versus some cost pressure that may have been somewhat unanticipated given everything going on? Sorry, you got a little more realistic there, but it's kind of ugly morning.
Teresa Elder: Thanks, Matthew. I appreciate the thoughtful questions. I would point to the ongoing strength of our ARPU and growth that we've had in high-speed data. Clearly, we always have as part of the WOW! philosophy that we provide high speeds, a reliable network, the legacy of this great customer service, we had offer a good value. And so we offered good pricing to our customers, but it's that blend of all of those things together that I think really makes us successful. So I'd point also to the strength of our continuing growth of our subscriber base and our high-speed data RGUs up 37% over the previous quarter. So I know that we always are competitive with the full array of services that we offer. We have not seen any significant impact from any certain competitor. I think the whole market continues to be pretty strong. While I would also have to say there still are some uncertainties in the market, COVID and such and just the economy in general, that we continue to all in the industry grapple with. Where it's difficult to predict some of the seasonality that we traditionally had as a cable industry. So that's why we think, although we're seeing continued growth in our business and quarter-over-quarter growth. We think that this year is maybe a little bit more back half focus. In terms of your question on supply chain, we actually are in a very good position with equipment and everything we need for the organic business and the growth we're seeing there, plus we have gotten ahead of the curve and the buying process for a greenfield market. So we have months ago already gotten what we need to launch the markets and do what we need to do to meet the plans that we're setting out for you. So we got way ahead of the supply chain issue. So we're feeling like we're in a good position. Thanks for the questions.
Matthew Harrigan: Great timing in those asset sales. And good luck with the de novo build.
Operator: The next question is from Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel: Okay. Great. Two questions. John, on the EBITDA margin guidance, it's just shy of 40% this year. Can you help us understand what's embedded in there in terms of corporate overhead expenses and expenses related to the new mobile service? Then maybe following up on that last question for Teresa. What gives you guys the confidence to guide to HSD net adds this year. Can you maybe help us understand what you're seeing in terms of gross adds and churn?
John Rego: Let me do the first one. So I think you're talking to how we're doing with cutting out corporate overhead like we suggested we were doing at Analyst Day. I think we're on track to keep doing what we're doing. And I would say by the end of 2022, we'll have gotten about $11.5 million out, and then we will come after that. Quite a bit ties into satisfaction of the TSAs, which we should be done with by the end of the year, and then it really will expand since then. To the mobile question, the impact on our G&A is de minimis, okay? This is an MVNO sort of light, most of the heavy lifting were handled by the MVNO partner. And this is something that we're offering to our customers, which we think will be impactful in reducing churn and giving them a bundle that they convert with. So in fact should be de minimis.
Teresa Elder: And to the second question, Brandon, really on HSD, we have continued to, I feel, performed quite well. We’re seeing strength across all of our channels. In fact, our close rates are actually very strong and close to some record highs. I think customers are looking for that equation of value with the speed reliability and the trusted partner for customer service as well. We also are seeing some nice growth in our commercial and small business area kind of returning to some of the pre-pandemic levels. We are really focused on local markets and see some great opportunities there. And I just see that we’re kind of continuing that cadence of growing our subscriber base in our organic markets, plus I’m pleased with the strength that we’ve seen in our Edge-Out areas and know that for the future, greenfields are going to be quite strong, too. On the other half of this side is really all the work that we do every day to retain our loyal customers and keep that churn at a very low level. So just a couple of points there. Clearly, last year, we participated in the EBB program, the Emergency Broadband Benefit. That is now morphing into the affordable connectivity program. We have about 10,000 customers who are availing themselves of that plan. That’s up about 2,000 from the last time we reported on that. So for the customers who are able to qualify for that, clearly, that helps them significantly. It still is mostly the existing customers as opposed to new customers, but we feel that’s a good program and the ACP program offers that flexibility for even more folks. We see mobile as another element that will help customers be able to get their bundle of connectivity needs through us, and we think that will also continue to keep us at those low churn levels along with just the reliable service, which is always so important. So that’s why we feel confident that in the numbers that we’re putting out there, which I think are strong numbers. So we feel good about that.
Operator: We have no further questions at this time. I'll turn the call over to Teresa Elder for any closing remarks.
Teresa Elder: Thank you so much, and thank you all for joining us this morning, and we really appreciate your continued interest and support of WOW!. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call and webcast. Thank you for participating. You may now disconnect.